Operator: Good morning, and welcome to The Interpublic Group of Companies, Inc. First Quarter 2025 Conference Call. All parties are in a listen-only mode until the question and answer portion. At that time, if you would like to ask a question, you may press star one. I would now like to introduce Mr. Jerry Leshne, Senior Vice President of Investor Relations. Sir, you may begin.
Jerry Leshne: Good morning. Thank you for joining us. This morning, we are joined by our CEO, Philippe Krakowsky, and by Ellen Johnson, our CFO. We have posted our earnings release and our slide presentation on our website interpublic.com. We will begin with prepared remarks to be followed by Q&A. We plan to conclude before market open at 9:30 Eastern Time. During this call, we will refer to forward-looking statements about our company. These are subject to the uncertainties and the cautionary statement that are included in our earnings release and the slide presentation. These are further detailed in our 10-Q and other filings with the SEC. We will also refer to certain non-GAAP measures. We believe that these measures provide useful supplemental data that, while not a substitute for GAAP measures, allow for greater transparency in the review of our financial and operational performance. At this point, it is my pleasure to turn things over to Philippe Krakowsky.
Philippe Krakowsky: Thanks, Jerry. And thank you all for joining us. This morning, I'll begin with a high-level view of the quarter and progress on our transformation program, after which Ellen will add detail on our performance. I'll then conclude with an update on the tone of the business as well as on the status of our acquisition by Omnicom. Turning to Q1 results. And starting with revenue, our organic revenue decrease was 3.6%, which is consistent with the outlook and phasing we shared with you earlier this year. Our revenue change was largely due to the impact of certain account activity over the previous twelve-month period, which we've discussed with you on prior calls. As expected, those headwinds intensified sequentially from last year's fourth quarter, due to the timing of trailing wins and losses. Our three largest losses weighed on growth by 4.5% to 5%, impacting results across a number of geographic regions and disciplines, notably the US, Europe, and Asia Pac, and our IAC and MD&E segments. Trailing account losses were partially offset by sound underlying performance with notably strong growth once again by IPG Media brands, Deutsche, and Golan, and regionally by growth in LATAM and our other markets group. By client sector, we had very strong growth with our tech and telecom clients, as well as solid increases in food and beverage and financial services. Turning to expenses and profitability in the quarter, our adjusted EBITDA was $186.5 million with a margin of 9.3%. That result reflects continued operating by our teams and a strong start to the strategic restructuring program that we described in our February call. Adjusted EBITDA excludes charges for restructuring the quarter, which as you've seen were $203 million, of which slightly more than half is non-cash. We also adjust for deal expenses related to the combination with Omnicom, which were $4.8 million in the first quarter and which appear in our SG&A expense. The quarter marked meaningful progress towards the objectives of the transformational restructuring of our business, by both enhancing our offerings and driving significant structural expense savings. Operating expenses in the quarter compared to a year ago clearly track to the strategic evolution of our model, with operating leverage in some areas alongside continued investments in technology to enable key platform services and solutions. As we outlined earlier this year, we're moving at pace to greater functional centralization, increasing offshoring and near-shoring of centers of excellence, and an enterprise-wide focus on tech-driven platform benefits and key client-facing areas such as production and analytics as well as corporate functions, including finance and HR management. With the implementation of these changes well underway, we've identified further opportunities for transformation and structural redesign. With that increased scope, we currently expect the charges for restructuring this calendar year will be in the range of $300 million to $350 million, a significant portion of which will remain non-cash. That will in turn yield run-rate annualized expense savings of a similar magnitude as the eventual charge. Very important to note that we continue to see almost no overlap between these actions as standalone IPG and the $750 million of identified cost synergies that will result from the merger of our company into Omnicom. So the benefit of these increased structural cost savings should accrue to the newly merged entity in 2026 and beyond. Our diluted EPS in the quarter was a loss of $0.23 as reported due to the restructuring investment, while our adjusted diluted EPS was $0.33. Another important development during the quarter was that we were able to reinitiate share repurchases. Following the pause that had been required in connection with the early stages of the acquisition. Subsequent to our special meeting of shareholders on March 18th, at which we received support for the transaction, from over 99% of shares voted, we were able to reenter the market for 3.4 million shares over the balance of the quarter returning $90 million to shareholders. Turning to our outlook, we know that macro developments and their potential ramifications have moved front and center for all of us. The impact of this uncertainty is not yet clear and the implications vary widely for our clients across industries and geographies. Our posture as always has been to stay close to our clients especially in periods of heightened uncertainty. As of now, marketers appear to be in a phase of scenario planning assessing the implications of possible changes to the flows of global commerce. And as they sort these developments, we know that we're all addressing these things and these changes that are taking place at speed. As we engage with clients and considering the decisions they may need to make when it comes to channel choices, investment levels, and the best mix of marketing disciplines required to deliver business outcomes we will begin to get greater clarity on the impact of the macro on our sector. And we will, of course, update you on that evolving landscape. Today, we can report that performance in Q1 has been fully consistent with what we'd expected that we've not seen a marked change in client activity, and that we therefore remain on track with the full-year performance targets for revenue and margin that we shared with you a few months ago. An organic decrease of 1% to 2% in net revenue due to trailing account headwinds and adjusted EBITDA margin of 16.6%. Should there be a slowdown, we've shown that we're capable of navigating challenging circumstances. We continue to provide services that marketers require in order to deliver sales and business outcomes regardless of where we are in the economic cycle. We also know that if the macro ultimately weighs on broader consumer sentiment, and economic activity, with a resulting impact on our revenue we've consistently proven the benefits of our flexible cost model. We've also demonstrated our resilience in that we've rebounded strongly as we emerge from such cycles. We're entering this dynamic period with our program of strategic transformation and cost reduction well underway. With strong underlying financial resources and both should further solidify our position at a time of growing uncertainty. I'll come back with an update on the status of the acquisition by Omnicom, the compelling growth benefits of the new company, and the resulting value creation we see in the combination. But at this point, I'll turn things over to Ellen for a more in-depth view of our results.
Ellen Johnson: Thank you. I hope that everyone is well. As a reminder, my remarks will track to the presentation slides accompanying our webcast. Beginning on Slide 2 of the presentation, our organic decrease in net revenue in the quarter was 3.6%, which was in line with our expected performance for the quarter. Adjusted EBITDA in the quarter was $186.5 million and margin on net revenue was 9.3%. It's worth noting that Q1 is our smallest seasonal quarter for revenue. While our operating expenses are recognized more numerically across the year. Adjustments exclude charges for restructuring of $203.3 million, amortization of acquired intangibles, of $20.4 million, and $4.8 million of deal expenses in SG&A related to our acquisition by Omnicom. A reported loss per diluted share in the quarter was $0.23 while earnings were $0.33 per diluted share as adjusted. Below the line, we have adjusted for non-operating losses from the disposition of non-strategic businesses. We repurchased 3.4 million shares returning $90 million. We concluded the quarter in a strong financial position with $1.9 billion of cash on the balance sheet and with only 1.84 times gross financial debt to EBITDA as defined in our credit facility. Turning to Slide 3, you'll see our P&L for the quarter. I'll cover revenue and operating expenses in detail, in the slides that follow. Turning to fourth-quarter revenue on Slide 4. Our net revenue in the quarter was $2 billion, a decrease of 8.5% from a year ago. Compared to Q1 2024, the impact of the change in exchange rates was negative 1.2%. The impact of our net divestitures mainly RGA and Hughes, was negative 3.7%. Our organic net revenue decrease was 3.6%. Further down the slide, we break out segment net revenue performance in the quarter. Our Media, Data, and Engagement Solutions segment grew 2.2% organically. Strong growth at IPG Mediagrams and growth at Acxiom was offset by continued decreases at MRM. The organic decrease at our integrated advertising and creativity-led solutions segment was 10.3%. That performance largely reflects the decision of a single client in the healthcare sector and to a lesser degree, generally soft performance across our creativity-led agencies. We continue to have strong growth at Deutsche. At our specialized communication and experiential solutions segment, our organic decrease was 2.4%. Modest growth in public relations, led by Golan's performance was offset by decreases at our experiential offerings. Moving on to Slide 5, our net revenue changed by region in the quarter. In the U.S, which was 68% of our first-quarter net revenue, decreased organically by 4% reflecting the impact of certain accounts lost in late 2023 and during 2024, that weighed on growth broadly across our domestic operations. IPG Media Brands continue to post strong growth in the quarter. International markets were 32% of our net revenue in the quarter, and decreased 2.6% organically. In the UK, which represented 8% of our net revenue in the quarter, the organic decrease was 6.1%. Chiefly due to soft results across some of our advertising and experiential offerings. Continental Europe is 8% of our net revenue in the quarter, and decreased 40 basis points organically. Which was against 8.9% growth a year ago. Trailing net losses weighed on performance in the quarter across several national markets. In Asia Pac, which was 6% of net revenue in the quarter, our organic decrease was 9%. The loss of certain global accounts led our results across the region. In LATAM, which was 4% of net revenue in the quarter, we grew 3.1% organically by market, our growth was led by Colombia, Chile, and Argentina, while Brazil decreased in the quarter. Our International Markets Group which consists of Canada, the Middle East, and Africa, with 6% of net revenue in Q1. And grew 2.9% organically. Performance was due to strong growth in Canada. Moving on to Slide 6. And operating expenses in the quarter. Our fully adjusted was 9.3%, That's a decrease of only 10 basis points from a year ago notwithstanding lower revenue. Our adjusted EBITDA margin is before expenses for our strategic restructuring, and Omnicom deal costs and SG&A. Our charge for restructuring was approximately $203 million of which $109 million is noncash. In general, expenses in the quarter reflect the continuation of our recent trend. With operating leverage on salaries and related expenses, alongside increased investment in technology. Our ratio of total salaries and related expenses improved 120 basis points to 70.9% of net revenue. It's worth noting that all the expense ratios are against our smaller first-quarter revenue base. Compared to a year ago, have leveraged on base payroll, severance expense, given the broader reset of our expense base, and temporary labor which was partially offset by higher expense for our performance-based incentive compensation program. We ended the quarter with a headcount of approximately 51,550 an organic decrease of 6.5%. Our office and other direct expenses increased as a percent of net revenue by 120 basis points to 16%. Occupancy expense decreased by 10 basis points as a percent of net revenue by all other office and other direct expenses increased by 130 basis points mainly due to higher levels of investment in technologies driving the enhancement of our services and the transformation of our company. Our SG&A expense was 2% of net revenue compared with 1.7% a year ago. With the Omnicom deal cost contributing to the increase in the quarter. Turning to Slide 7, we present detail on adjustments to our reported first-quarter results in order to give you better transparency and a picture of comparable performance. This begins on the left-hand side with our reported results. And steps through to adjusted EBITDA and our adjusted diluted EPS. Our expense for the amortization of acquired intangibles in the second column was $20.4 million. Charges for restructuring were $203.3 million. Deal costs pertaining to the planned acquisition by Omnicom were $4.8 million. Below operating expenses, our net loss due to the sales of non-strategic businesses was $36.4 million. At the foot of this slide, you can see the after-tax impact per diluted share, of each of these adjustments. Which bridges the first-quarter diluted loss per share as reported of $0.23 to adjusted earnings of $0.33 per diluted share. On Slide 8, we turn to our cash flow for the first quarter. Cash used in operations was $37 million compared with $157.4 million a year ago. As a reminder, our operating cash flow is highly seasonal. We typically generate significant cash from working capital in the fourth quarter and use cash in the first quarter. During this year's first quarter, our working capital use was historically low at $86.1 million. It's worth noting that cash from operations before working capital changes was $49.1 million in the quarter. In our investing activities, we used $58.2 million in the quarter for acquisitions and CapEx. Our financing activities in the quarter used $248 million primarily for our common stock dividend and share repurchases. Our net decrease in cash for the quarter was $319.8 million. On Slide 9, is the current portion of our balance sheet. We ended the quarter with $1.9 billion of cash and equivalents. Slide 10 depicts the maturities of our outstanding debt and our diversified maturity schedule. Total debt at quarter-end was $3 billion and our next scheduled maturity is not until 2028. In summary, our strong financial discipline continues. And the strength of our balance sheet liquidity means that we remain well-positioned both financially and commercially. And with that, I'll turn it back to Philippe.
Philippe Krakowsky: As we mentioned, the results we're reporting today are consistent with our forecast coming into the year. Against the net account headwinds driven in large part by three significant losses in 2024, the underlying business is sound, with growth of between 1% and 1.5% on a net basis. Notable strength was evident in our media offering, where we've been building proprietary trading capabilities. Other areas of growth included Deutsche, Golan, our IPG level production unit, and Acxiom. The impact of our large reversal with a healthcare client in the consumer advertising space in 2024, weighed on FCB and IPG Health, which otherwise showed solid top-line performance. In terms of profitability, we continue to demonstrate discipline, as you can see in our margin delivery, adjusted for the cost of the transformation program that we're undertaking. And specific to that program, we made a strong start to the restructuring efforts in both corporate functional areas as well as centers of excellence focused on the delivery of services to clients. The benefits of that program look as if they will exceed our initial forecast with the upside accruing to the newly merged company once our transaction with Omnicom is complete. Then as we said earlier, there's almost no overlap between our efforts and the cost synergies that have been outlined as part of the integration of the two companies. Turning now to specific highlights from the quarter. Operationally, we've entered the year with a kind of consistently strong levels of industry recognition that we're known for and which validate the competitive strength of our offerings. On Fast Company's list of most innovative companies, which was announced during the first quarter, IPG was better represented than any other holding company group. With five of our agencies at the top of this ranking including FCB, Golan, Martin Agency, McCann, and Weber. Just last week, we announced the appointment of a global head of AI commerce to advance our delivery of AGENTIC commerce solutions a new offering that enables clients to grow profitable share across omnichannel media. The remit for this role includes integrating market-wide data signals provided by Intelligence Node the acquisition we announced late last year, into these platforms and deepening our strategic partnerships with key players in the commerce ecosystem to create a more robust and cohesive suite of commerce solutions for our clients. This strategic move underscores our commitment to leveraging AI to enhance commerce and deliver superior results for our clients. The combination with Omnicom and their complementary capabilities like their flywheel platform, will further position us as a leader in innovation that can drive sales and business results for marketers in the commerce space. During the quarter, we also launched AI console, a personal AI agent available to all of our employees. AI console is part of our interact marketing platform that enhances productivity, by enabling users to create custom AI agents for the full range of capabilities we provide for our clients. Such as summarizing media plans, drafting press releases, and generating image mock-ups. To name just a few examples. Beyond the foundational use cases that media brands and Acxiom have pioneered for us, in AI through our Interac software platform. There are now thousands of interpublic practitioners using Interact and soon AI console to leverage AI to improve efficiency and creativity across all areas of our business. Within our MD&E solutions, I mentioned Acxiom. Which saw renewals in the quarter and new business wins with clients in the telco, CPG, financial services, and insurance and healthcare sector. Nielsen and Acxiom also announced a new collaboration whereby Nielsen will sync Acxiom Real ID into their system for cross-platform and data-driven linear media. Acxiom and Snowflake signed an expanded multiyear partnership agreement to power cloud modernization and data collaboration, as well as AI for leading brands. This allows clients to maximize the power of their first-party data in marketing while safeguarding privacy and security. Media Brands, as you've heard, posted strong growth in the quarter. Due to good regional new business across global markets and at all three of our media agency brands. MediaPost also named IPG Media Brands as its media agency of the year. And Media Brands and are finalists for Campaign's Global Agency of the Year Awards. In the IAC segment, we shared previously that as part of its global consolidation review earlier this year, Kimberly Clark expanded its partnership with Interpublic with an integrated holding company solution led by FCB. FCB retained its top position in the one club for creativity's global creative rankings. This was announced early in the quarter. And FCB finished 2024's Agency Network of the Year and FCB New York was again named global agency of the year. In our healthcare space, IPG Health was named network of the year by advertising health and a number of its agencies led across a range of award categories and in the agency of the year distinctions. Forrester released its 2025 evaluation of marketing creative and content services and McCann was recognized in that ranking as a strong performer setting the standard for creative vision with its mission to build enduring platforms through its truth well-told methodology. Among our US-based creative agencies, the Martin agency saw wins in Q1 with Hershey's and Ulta Beauty. And Deutsche earned a spot on Ad Age's prestigious 2025 a list. Within our SC&E segment, Weber Sandwiches recently launched the Weber Advisory, which is an integrated data and technology-enabled corporate advisory powered by our AI and tech platforms. This integrates Acxiom's data spine to transform how organizations use data technology, and AI in their earned, owned, and social media campaigns. IPG at a number of leading social networks, are also collaborating to develop capabilities designed to help marketers identify relevant and engaging creators, and influencers and match them with their specific target audiences. This solution leverages Acxiom's real identity to address the challenges of effective creator identification. By focusing on audience engagement, we're able to improve business outcomes in this high-growth area. At the PRWeek Awards, Weber was named Agency of the Year and Golan won a range of awards, including best promotional event for Grubhub best in arts, entertainment, sports, and media for Verizon, best in employee engagement from McDonald's, and Best Global campaign, again, from McDonald's. In the experiential marketing space, Campaign name Momentum is experiential agency of the year for the second year running. The agency created a heralded ultimate fan experience in the final four with Coca-Cola, Powerade, and GEICO. Octagon continues to excel in sports and entertainment, which is an area that is highly differentiated for interpublic and part of a sector within marketing that continues to grow in importance. The agency recently secured landmark partnerships for Bank of America and the Home Depot with US Soccer, following their inaugural partnerships with FIFA for the 2026 World Cup. These multiyear agreements represent two of the largest long-term investments in US soccer history. Pivoting now and looking forward, we did not see anything in the first quarter or in April that would cause us to reconsider our expectations for the year but we remain focused on delivering against the revenue and margin targets shared with you on our call in February. Strong Q1 growth at a number of our agencies mitigated the impact of the three large 2024 losses that, as we've indicated, will mute organic revenue performance this year. And in terms of profitability and cost management, we had begun to rightsize over the course of 2024 with associated elevated expense and have now made strong progress in the which speeds our progress on strategic centralization and platforming. The macro is increasingly volatile, however, so we are staying very close to our clients as they plan for contingencies in light of the rapid pace of change and resulting uncertainty that we are all seeing. As we've seen in past periods when confronted with challenging economic crosscurrents the impact on our clients can vary widely. Some client industry sectors benefit from greater flexibility in their own operating models or greater access to localized or alternative sourcing or geographic exposure that can be beneficial in relative terms. The consumer sentiment has been resilient to date. Confidence is not at the levels we were seeing at the end as we entered the year. For many marketers, that may require a shift in products and services and the potential for the greater emphasis on value. With our great resources, in terms of talent, technology, and data we are well-positioned to help our clients should they need to act channels and marketing activity. And as clients look to invest in marketing, the directly impact sales, Acxiom is a key factor in how we can help businesses win. With this data foundation, our agencies and clients are operating on infobase the world's largest most secure, and most trusted core identity resource outside the walled gardens. Companies can get a single view of the consumer which in turn leads to increased precision and personalization in all marketing disciplines. Leading to conversion with customers. Some of our competitors are prone to sound by commentary. When it comes to the benefits of their approaches or assets in the data space. Yet, despite what they claim, there is no better data asset than Acxiom. When it comes to delivering precision, transparency, and trust. Acxiom maintains direct integrations with a full range of media publishers, DSPs, SSPs, and marketing technology platforms. Giving it end-to-end connectivity across the entire media and tech ecosystem. We align the cadence of data refresh to the source systems of data that are relevant to a specific client. And marketing situation. Which means we refresh data anywhere from real-time to weekly. Depending on the data type. And use case. And through our proprietary Acxiom assets and our connected tech platform ecosystem, we reach virtually every addressable person and audience. Globally. The noise about reach as a percentage of global population is just that, What's key to sophisticated marketers is calibrating the right message. To the right audience. In the most effective omnichannel environments. Whether that's paid media, the earned world of influencers, retail media networks, or client-owned properties and channels. In partnership with leading social media networks, we help clients identify the brand-safe creators and influencers with the highest relevance and business impact for their growth audiences. So Acxiom's data and tools are real ID identity resolution capabilities. Combined with interpublic agency expertise are what help us deliver measurable ROI. And that's vital in the current environment. Which is why Interpublic continues to be a trusted partner at the heart of the growth agenda for many of the world's most ambitious businesses. In terms of the acquisition by Omnicom, both companies garnered very strong support in our shareholder votes and you know that we've cleared the regulatory bar in five jurisdictions. Across the board, clients continue to share that they're looking forward to the benefits we will be able to deliver to them once our resources geographic strengths, and company cultures come together to create an unmatched portfolio of talent services, and products. Our complementary capabilities will be underpinned by the most advanced sales and marketing platform in the industry. Supercharging our creativity and delivering superior data-driven outcomes for the brands we work with. We remain confident regarding the completion of the deal in the second half of 2025 as well as in the value that the new entity can create for all our stakeholders. With that, I'd like to thank our partners and our people for their continued support and those of you on this call for your time. Let's now open the floor to questions.
Operator: Thank you. Unmute your phone and record your name clearly. If you need to withdraw your question, press star two. Our first question comes from David Karnovsky of JPMorgan. Your line is open.
David Karnovsky: Hi. Thank you. It'd be great if you could dig in a bit more on the types of conversations you're having with clients right now and recognizing that's gonna differ a lot based on, you know, the vertical and geography. And curious how marketers are thinking about deploying media spend. I know you mentioned no marked change in activity, but kind of assuming that's a comment on overall levels, are you seeing any shifts within total outlays? So for instance, are clients, you know, pulling dollars from brand channels, and into performance or, you know, maybe putting greater reliance on principal media buying just given the uncertainty? Thanks.
Philippe Krakowsky: Sure. No. I mean, we haven't seen that change. So I think if you were to strip it back, as you asked the question, the media market has been steady thus far into April, so we're basically not seeing the shift you're talking about. And so kind of existing trends unchanged kind of across all of the channels, whether that's linear, digital, streaming, or otherwise. I think that the conversations with clients go to some of what I tried to outline, you know, in the prepared remarks, which is that everybody is sort of pulling, monitoring for sentiment, I think the consumer's been resilient thus far. Obviously, the rate at which the sort of policy uncertainty it clearly is something that everybody everybody kind of filters through whatever you know, they're thinking about. Right? So if you think about groups with international sourcing sort of client organizations, they're thinking about know, that we've had something happen a few years ago where everybody thought about their supply chain, and you remember from that, the supply chains were resilient for quite some time. Then you think about, you know, specific industry sector I it's what we said, which is that you've got clients thinking about contingencies. You know, we're gonna sort of look bottoms up. I mean, when you think about prior cycles, if the economy slows, you know, from a discipline standpoint, where would we see it? We would see it in projects because they're somewhat more discretionary to your point. We might see it at know, kind of digital spend that that you can action more quickly, but at this point, everybody is very focused and everybody's trying to understand when there'll be some measure of clarity and you know, the changes are fairly significant and they happen on a you know, on a sort of weekly, if not, you know, quicker than that basis. So I can't really give you more than either how we're thinking on the media side, what are we seeing? On the consumer side, what are we seeing specific clients? And their industry, their sector, their business model. And everybody's clearly focused on it, and there are a lot of discussions about what it is that is available to us. Are we seeing significant moves to your point, to different channels or different tactics, disciplines, not at this point.
David Karnovsky: Okay. Thanks for that. And then just can you expand a bit on the SCA and E segment in the quarter? I think Alan noted experiential off. I know events can be choppy. But it's also, you know, we would think one of the more discretionary offerings you have. So just wanted to understand a bit better of the trend in that segment relative to the, you know, prior several quarters.
Philippe Krakowsky: Look. I mean, I think choppy is a good word for it. I mean, everything is clearly choppier. It is the segment in which you would see more project spend. Those are you know, I think we called out for you that you know, PR grew Gong was the key driver of that. And what you then have or three businesses that are you know, not don't have the such scale that you don't have specific client client specific events that would that would kind of drive that contraction. I don't know if Ellen has any.
Ellen Johnson: The only thing I would add to that is their performance was, you know, as we had expected entering the year. So assistance. So there was nothing that changed due to the macro that we're talking about.
David Karnovsky: Excellent, Clari.
Operator: Thank you. Alright. Our next question comes from Jason Bazinet from Citi. You may go ahead.
Jason Bazinet: I just I just had a quick question on working capital. You called out that low capital use in the first quarter. But I was just going back to my model. I haven't seen a number that low in over twenty years. So can you just unpack that a bit? Has anything changed in the way you're running the business? Or does this account loss related? Or what drove such a small number?
Ellen Johnson: You know, first of all, thank you for the question, and thank you for noting the historical low. However, as we say every quarter, working capital is volatile. We're very disciplined on how we manage it. That doesn't change from quarter to quarter from when we onboard a client to the management of payables. Extreme discipline and really consistent processes. It's just volatile. And whether you get paid on the thirtieth or the thirty-first or the first or the second, makes a big difference. This quarter, there was a slight influence from the restructuring. That benefited a little bit, but it still was a low. But I don't think anything structurally changed. I think you will see the volatility.
Jason Bazinet: Okay. Thank you. Thank you.
Operator: Thank you. Our next question comes from Cameron McVeigh from Morgan Stanley. You may go ahead.
Cameron McVeigh: Hi. Thanks. Just had a couple Hi, Cameron. Yeah. I was curious how you would characterize the pricing environment and how you're thinking about how pricing powers trending in the industry and IPG specifically. And then secondly, you know, just the latest on any potential client conflicts you may you may have seen with the transaction with Omnicom and whether that has impacted the guide or expectations at all. Thanks.
Philippe Krakowsky: On the latter, I mean, we are now five months in. Right? And I think that we've been clear throughout that the industry's come a long ways relative to you know, the conflict issue, the nature of what we do, you the services we bring kinda were core to how companies do more than, quote, advertising, but ultimately, really how they to market across a range of marketing and sales channels. So at this point, we've not seen anything in that regard. No. It's hard not to then be superstitious and say, hold on a minute. Why'd you ask me that question? But clients as we said throughout, are very supportive. Right? They see that there are gonna be meaningful benefits whether it's in terms of the range and sophistication of offerings, you know, inclusive of media, which maybe goes to the question you asked the first part of your question, The geographic complementarity, just a lot of the things that we've called out about the benefits of bringing of range of capabilities that is both very, very broad and very, very forward-looking and then being able to continue to invest behind those. So, you know, as we said, we stay close to clients independent of the macro. But so far, all the signals there are positive. And then on your pricing question, I think we've been answering versions of that question for some time as an industry, right, where there was the kind of, hey, to what extent is procurement a part of the conversations? To what extent do you have to demonstrate to clients that they're getting better, but they're also getting better with the benefits of efficiencies. So I don't I don't know that we're seeing anything, and I'll happily know, ask Ellen to jump in on this. But I don't think we're seeing anything that is sort of out of line with a sort of fairly long-standing trend line for the industry.
Ellen Johnson: No. I completely agree. It's been competitive and it remains competitive, but that's just part of the business.
Philippe Krakowsky: Thank you. Thank you.
Operator: Thank you. Our next question comes from Michael Nathanson from MoffettNathanson. You may go ahead.
Michael Nathanson: Thank you, Michael. Good morning, Todd. I have a question for you. I asked John this question as well. Given the opportunity to create a bigger and better company, I kinda wonder what's new business activity look like in terms of pitches. I would think as clients await this combination, I would I would hold off, you know, looking looking for your new new partner. So could you talk a bit about the environment you're saying? In your business activity for you all and then for Ellen, on the headcount changes, there any way just to mention how much of that is organic versus tied to dispositions on those assets? Thanks. Alright. I'll let Alan take that one, and then I'll jump back in.
Ellen Johnson: Sure. We've said that the organic change was 6.5%. So that was part of the prepared remarks. And we are very focused as part of our transformation efforts on, you know, many things of and many ways of becoming more efficient. Part of that is a focus on greater centralization. We began that process well over a year ago by implementing common systems and technology. And now we're moving from a much more of a federated approach to a much more centralized operating model for many of our support functions. Including finance, HR, and IT. We're also really at standardizing processes and creating centers of excellence. Which will yield continue to yield greater efficiencies and give us more of an opportunity to focus on right shoring. In addition, on the agency side, we're really focused on driving platform benefits in key client-facing areas, such as production and analytics, And we're streamlining and simplifying certain of our organizational structures really optimizing spans and layers of management. So that's really where you're seeing the organic change coming from.
Philippe Krakowsky: On your question around kinda new business, you know, I think what's interesting is that it's we're new business is definitely the environment is, I'd say, sort of moving along. It's kind of happening at a level that's sort of a mid-range level. I think the macro might play a role as well, and then if you sort of think about when we've gone through more challenging economic cycles. And given that there's a lot of uncertainty out there right now, it does beg the questions about whether or not a marketer wants the incremental sort of challenge of changing partners or assessing partners. And then as I think you've probably heard or read, John and I have spent some time with the intermediaries who clearly run a lot of those processes so that there can be clarity on their part in terms of you know, kind of how we see the world and ultimately the ways in which the combined company will stand out and as we've said, we believe will bring an unmatched set of capabilities and skills. But we've also reiterated that in the interim, and until such time as we get you know, all the way through regulatory, it's business as usual. And so if you are gonna be in market you clearly should consider you know, both companies. Interestingly, I guess I misspoke because as we were here, we just cleared six. So Singapore just gave us the green light. So I would say that that new business activity industry-wide is solid, TBD, whether or not the macro will impact it. And then, you know, clients are pretty thoughtful. They're very sophisticated, and they understand what the benefits will be slash could be when our companies come together and if that informs their decision about how and when to think about you know, who their partners should be, that's clearly a decision that they will make. But we're not seeing dramatic change. Based on that.
Michael Nathanson: Thanks.
Philippe Krakowsky: Sure.
Operator: Thank you. Our next question comes from Daniel Otsley from Wells Fargo. You may go ahead.
Daniel Otsley: Thank you. A question on margin. How should we think about the margin impact of the restructuring actions you've taken to date we'll see over the remainder of the year? How much of the run rate savings will you capture in this fiscal year? And then as a follow-up, you know, what areas drove the upsides to the restructuring savings target?
Ellen Johnson: So when we announced the transformational efforts or the restructuring, in February, we said the in-year savings would be $250 to $350. We've now increased the amount of the expected charge to $300 to $350. And on a run-rate annualized basis, we're also increasing the benefits we're seeing to at least $300 to $350 which we say will accrue to the newly, larger organization. And there's very little duplication I'll add with the $750 that is related to the Omnicom acquisition. We are just you know, all the areas that I outlined, we're just seeing more opportunities, and we're moving at speed to achieve them. So whether that's the centralization whether they have optimizing spans and layers of management, whether that's streamlining, more opportunities to reduce our real estate footprint as well as rationalizing underutilized assets. So the more we're getting into the transformation efforts, the more opportunity we're finding and we're moving at speed. To capitalize on them.
Philippe Krakowsky: It's there's nothing net new in terms of an area of focus for us. In terms of where we're centralizing, how we're standardizing, kind of where we're thinking about offshoring or what you could refer to as platforming. It's just that as the work is begun, we've just seen we've just seen more opportunity to rethink whether it's structures or really whether it's ways of working.
Daniel Otsley: Thank you.
Operator: Our next question comes from Julien Roch from Barclays. You may go ahead.
Julien Roch: Yes. Good morning, Philippe, Ellen, Jerry. For taking my questions. No strategy, only numbers. So can we have an idea of how much of the $350 million restructuring is cash versus noncash? Looks like it was around fifty-fifty in Q1, but for full year and for next year. First question, then when will this cash restructuring take place? Only in 2025 or some in 2026? Can we have an idea of the phasing? And then an idea of the timing of the benefits between 2025, 2026, and 2027. And then on FX, if the rate or the exchange rate don't change at all for the rest of the year, can we have an idea of the impact Q2, Q3, Q4? Thank you.
Ellen Johnson: Good morning. Start with the FX, which if the rates continue, we're projecting about negative 60 basis points for the full year. As far as the timing of the savings and cash and non-cash, I'll start with cash and non-cash first. I would expect the ratio that you saw in Q1 to continue through the full program where it expecting to complete our program by the end of the year. With the majority of the expense takeout or the charges to be realized in the first half. The savings for the in-year are we believe, as we originally, but with larger savings on a run-rate basis in 2026 and beyond. They are structural savings, so they should be enduring.
Julien Roch: Okay. But but the not gonna get the whole $300 to $350 in 2026. Right? I mean, if you had to venture how much of that we'll gain in 2026 versus later?
Ellen Johnson: So the approximate $250 is what we're saying for 2025, and the $300 to $350 should be in 2026. And recurring beyond. Exactly.
Julien Roch: Okay. So we get the whole benefit in 2026 and then obviously, the same number going forward. Okay. Thank you very much.
Philippe Krakowsky: Thank you.
Operator: Thank you. Our last question comes from Craig Huber of Huber Research Partners. You may go ahead.
Craig Huber: Great. Thank you. Hey. Good morning. Thank you. I know we only have a few minutes here. Can you just update us on your AI efforts? How you feeling about that in terms of services enhancements, product enhancements versus cost savings area? Are you seeing those AI cost savings in the quarter we just finished? Thank you.
Philippe Krakowsky: Owen, I think Ellen can speak to, you know, if you think if you're asking on the efficiency side, and then, obviously, I'm happy to talk about how it's integrated or sort of add to what was in the prepared remarks about kind of how it's being integrated on the capabilities and client-facing side.
Ellen Johnson: Yeah. I mean, as we're moving to more common systems, I mean, AI is a component of that. I think you will still see I think it's still early stages. Right? We're baking it into as many places as we can. We've had training across a lot of the corporate groups to really stimulate intellectual curiosity on all the different use cases. We're using it in our shared services centers to automate more processes. But as we continue to standardize and move into right shoring, there'll be more and more AI capabilities baked in. So I'd say we're seeing some but it's still early innings, and there's a lot more to come.
Philippe Krakowsky: And then on the client service capability product side, you know, we've talked about this in the past, and I know you've paid close attention to. In the Axiom business and across media brands, it's the technology, whether it was machine learning or otherwise, is something that's really been core to what we've been doing for a number of years. The impact of Gen AI the rate of adoption across the group has been, you know, I think increasing quite dramatically in the last six to twelve months. I called out something that, you know, I actually just spent some time with some clients on the earned owned social side and how it's really become core to how we're going to market in that whole part of the sector of the business, I think across the consumer ad agencies, whether at an FCB, at a Deutsch, in McCann, you're definitely seeing it being incorporated into a broad range of everything from the way in which we do strategy work and define audience opportunities so that it's really a business conversation with a client all the way through to the kind of smart production and delivery of content. And then, you know, the ability to then track that content and understand how consumers are interacting with that content. Which I think is interesting because it will, you know, increasingly open the opportunity for more accountability and more signal back, and therefore, on the creative sides of the business, I think a revenue model that's more performance-based. I think we're pleased at the degree to which AI is being incorporated to Ellen's point on the processes, how we run the business, but also the delivery of service and product to clients.
Craig Huber: Great. Thank you both.
Philippe Krakowsky: Thank you. I think I understood that to be the last question. So as I said, we appreciate the attention. We look forward to updating you again in a couple of months' time, and you know, a lot can happen in those few months, so everybody here will be very focused on what we laid out, which is just our clients and delivering for them. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect at this time.